Operator: Good afternoon and welcome to the Knowles Corporation Third Quarter 2018 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. With that said, here with opening remarks is Knowles Vice President of Investor Relations, Mike Knapp. Please go ahead.
Michael J. Knapp - Knowles Corp.: Thanks, Mikela, and welcome to our Q3 2018 earnings call. I'm Mike Knapp. And presenting with me on the call today are Jeff Niew, our President and Chief Executive Officer; and John Anderson, our Senior Vice President and Chief Financial Officer. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the Safe Harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products; anticipated trends in company sales, expenses and profits; and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings including, but not limited to the Annual Report on Form 10-K for the fiscal year ended December 31, 2017, periodic reports filed from time to time with the SEC, and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Knowles disclaims any duty to update such statements, except as required by law. In addition, pursuant to Reg G, any non-GAAP financial measures referenced during today's conference call can be found in our press release posted on our website at knowles.com, including a reconciliation to the most directly comparable GAAP measures. All financial references on this call will be on a non-GAAP continuing operations basis, unless otherwise indicated. Also, we've made selected financial information available in webcast slides, which can be found in the Investor Relations section of our website. With that, let me turn the call over to Jeff, who will provide some details on the quarter. Jeff?
Jeffrey S. Niew - Knowles Corp.: Thanks Mike, and thanks to all of you for joining us today. For Q3, we reported revenue of $236 million, above the high-end of the guidance range we provided on last quarter's call and up 21% from the year ago period. EPS of $0.34 was above the guidance range as well. We drove double-digit revenue growth year-over-year in both segments, as macro trends around audio and edge-processing are leading to increased content per device, and we continue to see strong demand for our precision device solutions. In our Audio segment revenue was up 19% from the year ago period, which was better than expected. In Q3, sales to Chinese OEMs reached all-time record levels on strong MEMS microphone sales and additional new design wins for intelligent audio driving greater than expected revenue. Sales in hearing health were stable from the year ago period. Overall, revenue from Audio comprised 84% of total sales in the third quarter. In the Precision Devices segment, sales were up 32% from the year ago period, hitting record levels for the third consecutive quarter due to strong demand for capacitors and thin film devices across most end markets. Precision Devices represented about 16% of total company revenue in the quarter. As I mentioned, we continue to see strong sales growth in our Audio segment in mobile, IoT and ear markets. The trends we are seeing around improved audio input performance and processing we moved to the edge of the network are driving increased content per device at our customers. In the mobile market, Q3 was another above market growth quarter led by solid MEMS microphone sales and stronger than anticipated demand for intelligent audio solutions. I mentioned that sales to Chinese OEMs were above expectation and reached all-time record levels during the third quarter, more than doubling from the year ago period. This growth is being driven by robust demand for higher performance microphones and new intelligent audio design wins ramping in Q3, which is leading to share gains and higher ASPs. On top of mobile content increases and share gains in China, we are also benefiting from strong growth in ear and IoT demand. Shipments to our largest U.S. and Korean customers came in largely as expected. In the IoT market, we continue to see new product launches of voice-enabled devices. Last month, Amazon announced 15 new Alexa enabled devices, including new versions of the Echo and Dot, a clock, a device for your car and even a microwave. Google also unveiled a number of new devices, including a voice-enabled smart display called the Home Hub designed for rooms throughout the connected home. All of these devices need microphones and many highlight the important trend of processing being moved from the cloud to the edge of the network. In some cases these devices are incorporating more complex artificial intelligence algorithms, which involve many operations being performed quickly and simultaneously. There is an emerging focus to take audio processing to the device itself to improve data privacy, security, contextual awareness, latency and to reduce overall cost. Our audio solutions have been optimized to deliver best performance for these types of tasks, and as a result, we are seeing strong design activity across all types of IoT devices for our microphones, as well as our audio processors. Now, let me move to the ear market. I want to spend a moment highlighting several important long-term growth drivers for us in this space. For the past several years, many of our customers have been investing heavily in hearable devices. More recently, we have seen true wireless headsets increasing popularity given the improved audio performance and freedom from being tethered to a device. Most of our early growth in ear has been driven by the increase of number of microphones for headset, and we expect this market to follow a similar path as mobile, adopting higher performance microphones, as well as continued increases in number of mics per device. Additionally, we are seeing the success of personal voice assistants, such as Amazon's Alexa and Google's Assistant, it's accelerating development for ear worn devices and placing greater importance on voice input. In the future, we expect AI enabled headsets will be able to automatically improve speech recognition in noisy environments and understand not just our words, but the context in which we speak them. We are seeing a convergence in technology requirements between the consumer and hearing aid devices that combine the benefits of improved audio like better voice capture or active noise cancellation with the assistance of an amplified hearing device. Ears are particularly attractive market for us, given our long history of solving challenges in the hearing health market and our broad range of solutions including microphones, balanced armature speakers, SmartMic's and audio processors. All these solutions are designed for low power and high performance in very small packages and could result in meaningful audio content increases as ear worn solutions proliferate in the market. We are already experiencing significant growth from our ear and IoT markets this year, and expect over 20% of our MEMS microphone sales to be from these markets in 2018, up from only 7% in 2016. Our Precision Device business continues to execute well, and we see strong demand for high performance capacitors and thin film devices across several markets, including defense, electric vehicles, medical devices and industrial end markets. In addition, the acquisition we closed in Q1 continues to perform ahead of expectations. We also anticipate that our solutions for electric vehicles and 5G will provide additional areas of growth for us over the next several years. With that, I'll turn it over to John to expand on our financial results and provide our guidance for the fourth quarter.
John S. Anderson - Knowles Corp.: Thanks, Jeff. As Jeff mentioned, we reported third quarter revenues of $236 million, above the high end of our projected range and up 21% from the year ago period, driven by increased shipments in both the Audio and Precision Device segments. Audio revenues of $199 million, were up 19% from the year ago period, driven by strong demand for MEMS microphones and intelligent audio solutions in China, which more than doubled from the year ago period. Shipments into the hearing health market were stable from the year ago period. Precision Device revenues of $37 million were up 32% year-over-year, as a result of 19% organic growth, driven by strong demand in defense, industrial and automotive end markets and an acquisition completed earlier this year. Third quarter gross margins were 38.4%, at the lower end of our guidance range. Gross margins were negatively impacted by unfavorable product mix and higher than expected ramp cost associated with new product launches at our largest customer. We expect gross profit margins to improve in the fourth quarter, which I'll discuss in more detail shortly. Operating expenses in the quarter were $52 million, in line with our guidance and up $5 million from the year ago period, due to increased R&D spending and higher incentive compensation expense. For the quarter, adjusted EBIT margin was 16%, at the mid-point of our guidance range and up 90 basis points from the third quarter of 2017. Non-GAAP diluted EPS was $0.34, above the high end of our guidance range and an increase of 31% from year ago levels. Further information, including a detailed reconciliation of GAAP to non-GAAP results is provided in the financial tables of today's press release, and can also be found on our website at knowles.com. Now, I'll turn to our balance sheet and cash flow. Cash and cash equivalents totaled $69 million at September 30. For the quarter, cash generated from operations was $30 million and capital spending was $10 million. Bank debt was reduced by $10 million during the quarter, as we repaid borrowings outstanding under our revolving credit facility. As we move to fourth quarter guidance, it's important to note that the fourth quarter of 2017 included a royalty settlement related to a license agreement that increased revenue in the quarter by $11 million and reduced operating expenses by $6 million. My comparisons to the fourth quarter of 2017 amounts exclude the revenue, gross margin and expense impact of that settlement. We expect total company revenue for the fourth quarter to be between $210 million and $240 million, up 10% from the year prior, excluding the settlement impact. In Audio, we expect year-over-year growth of 8%, driven by growth in microphones, intelligent audio and hearing health. Precision Device revenue is expected to be up 26% over prior year levels, driven by continued strong organic growth across most end markets and the impact of an acquisition made earlier in the year. We project non-GAAP gross margin for the quarter to be approximately 41% to 43%, 240 basis points better than the prior year period, as we benefit from favorable customer mix, higher capacity utilization and the settlement of a supplier warranty claim. R&D spending in Q4 is expected to be between $24 million and $26 million, an increase of $4 million over prior year levels, driven by increased new product development activities within the Audio segment. Selling and administrative expense is expected to be $28 million to $30 million, up $2 million from year ago levels due to higher incentive compensation cost. We are projecting adjusted EBIT margin for the quarter to be in the range of 16% to 20%, and expect non-GAAP diluted EPS to be within a range of $0.31 to $0.37 per share. This assumes weighted average shares outstanding during the quarter of 93.6 million on a fully diluted basis. We're forecasting an effective non-GAAP tax rate of 14% to 16% for the quarter. We continue to expect our long-term non-GAAP tax rate to also be between 13% and 17%, as we reflect the full impact of U.S. tax reform. Please refer to our press release for a GAAP to non-GAAP reconciliation. We expect the fourth quarter to be our highest free cash flow quarter of the year, which is our normal seasonal pattern. We expect cash provided by operations to be $50 million to $70 million in the fourth quarter. CapEx in the fourth quarter is expected to be between $15 million and $25 million, as we expand capacity in both the Audio and Precision Device segments. I'll now turn the call back over to Jeff for closing remarks, and then we'll move to the Q&A portion of the call. Jeff?
Jeffrey S. Niew - Knowles Corp.: Thanks John. As we enter Q4, we are seeing positive momentum in both of our business segments and now expect 11% revenue growth in 2018. For 2018, our microphone business continues to grow across mobile, ear and IoT markets and intelligent audio sales are tracking ahead of expectation. For Precision Devices, I expect continued strength in capacitor and thin film demand across multiple markets. For 2019, all of our businesses are well positioned, in addition to growth in our core business lines, I continue to expect 2019 to be a strong year for intelligent audio driven by our mobile, ear and IoT markets. Our transition from an acoustic component supplier to an audio solutions provider is well under way, and I believe we are at the very early stages of penetrating a new $1 billion-plus market opportunity in audio processing. We are expanding the available markets we can serve and increasing our content per device as we enable macro audio trends, including improved voice and audio input and processing at the edge of the network. I continue to believe that our core capabilities in acoustics, digital signal processing and algorithms are unique, and we are positioned to grow across all of our end markets in 2019. Operator, we can now take calls.
Operator: Our first question comes from Harsh Kumar from Piper Jaffray. Your line is open.
Harsh V. Kumar - Piper Jaffray & Co.: Yeah, hey guys. First of all, congratulations. These are solid results in a tough market and encouraging. I had a quick question Jeff, excuse me. Your gross margins go up quite a bit dramatically – quite a bit in fourth quarter, you cited mix and a couple of other factors. Would you be able to – kind enough to break out, maybe the big movers of that move, 200-something basis point move that you are seeing there.
Jeffrey S. Niew - Knowles Corp.: I'll let John kind of put some color on that.
John S. Anderson - Knowles Corp.: Okay. Yeah, Harsh, typically you have to remember Q4 is near the – from a quarterly standpoint typically one of our higher quarters as we've got very high capacity utilization. This quarter we also benefit from favorable customer mix, little higher sales to our largest North American customer versus Q3 was maybe tilted a little heavier to the Chinese OEMs, where we have slightly lower margins. The other thing would be we are settling a supplier warranty claim, and so those three things are driving the gross margin to the mid-point of 42%.
Jeffrey S. Niew - Knowles Corp.: Let me put a little more color on that, Harsh. I think on the last call we had said that, with our largest customer, the peak was going to be Q3. It's actually shifted a little bit to Q4, so we are seeing the peak in Q4 versus China actually came in extremely strong for us (00:16:28). We do see some sequential decline in China, but yet in Q4 still business will be more than double Q4 of last year.
Harsh V. Kumar - Piper Jaffray & Co.: All right, got you. Actually you answered my next question. And then, Jeff, on a strategic level intelligent audio, you said it's tracking ahead of what you kind of expected it to be at this point. For reference, can you give us an idea how big it is or how big it may be at some point in time that you feel comfortable talking about? And then also, what kind of people are you running into as far as competitors. Is that the standard guys like Cirrus or you're actually running into processing guys like perhaps lower end of ADI or whatever you are seeing, we are just curious.
Jeffrey S. Niew - Knowles Corp.: Yeah. Let me take that second question first on the competition for IA. I think it's a longer conversation, and I try to put this off. But we're actually running into different people depending on the market we're in. So, the competitors we're running into in mobile are very different than we're running into in IoT, and conversely also in ear. So, without trying to answer this, we're running across a lot of the people that you mentioned, but it varies from market to market, and I think the one common theme you think about IA, is we've built a platform for audio innovation that is extremely low power with high compute capability that can play in all these markets. And I think that's where we're kind of unique, especially with the open platform and the way it can be used across these different markets. As far as the size...
Harsh V. Kumar - Piper Jaffray & Co.: Can I just. Sorry, go ahead. Please finish.
Jeffrey S. Niew - Knowles Corp.: So, as far as the size, I think the struggle we're having here is, I just want to make sure you, again, understand is, we're selling a fair amount of smart microphones this year. Well, when we say it's a smart microphone, it's still a mic, and it's actually taking away from growth of our MEMS microphone business from the standpoint it's taking a slot right, but now we're getting 100% share of that slot versus our typical roughly around 50%, and a significantly higher ASP. We're also driving – adding up additional MEMS microphone to our systems. So, one of the things we're seeing here is, is that, well we have an intelligent audio number that we are selling with the typical content increase we're getting is greater than 5x, and in any place we get a SmartMic or an audio processor designed in. We're getting 5x more revenue. So, it's – how we say this is all – we're thinking of how we're going to frame this together, but I would say that we're sticking to our guns what we said last quarter, which was intelligent audio will account for 2% to 4% growth on top of the core in 2019, and that's off of a higher base and that does not include the pull-through of higher share or what you call it, higher share or higher-performance mics.
Harsh V. Kumar - Piper Jaffray & Co.: Understood. I'll get back in line. Thanks guys.
Jeffrey S. Niew - Knowles Corp.: Thank you. Sure Harsh.
Operator: Our next question comes from Suji Desilva from ROTH Capital. Your line is open.
Suji Desilva - ROTH Capital Partners LLC: Hi, just following up, maybe on Harsh's question on the intelligent audio here. What's the opportunity today in smartphone versus non-smartphone? And how might the non-smartphone part trend, it sounds like today the traction is in smartphone if I heard you correctly, I wanted to clarify that.
Jeffrey S. Niew - Knowles Corp.: Yeah, I would say intelligent audio, specifically, I would say, a good portion of the revenue that's coming so far this year is in the smartphone market. But although we do have some design wins that have started production that are in IoT, we expect a few ear opportunities to start production yet this year. So, I guess, what I would say there is a couple of common themes across these markets, which is voice-wake across all these markets. But I think, as you go from market to market and you start seeing what people are starting to do with these devices, it does vary quite a bit by market, but it all starts with voice-wake, and then they are adding additional algorithms, features, functionality, specific to either the ear, IoT or the mobile market.
Suji Desilva - ROTH Capital Partners LLC: Okay, that's helpful. And maybe more – a broader question on macro trends and what you're seeing in the terms of demand. You guys have broad touch points across flagship phones, China demand and also the capacitor business. So, I'm curious what you're seeing across those in terms of whether tightness is easing up or whether there is macro headwinds? And in China, are the growth – is the growth you're seeing sustainable, is it really content driven versus end market smartphone demand, thanks.
Jeffrey S. Niew - Knowles Corp.: So, let me start with the Processing Devices first. So far, we're obviously monitoring this and watching this. We are not seeing any decline in demand across the markets like medical, industrial, military. We are not seeing a decline at all. In fact, the lead times on our product are still quite long and the demand is very strong in that market. In China, I would say that we had almost – we didn't say – it's almost a tripling of sales over the Q3 of last year. I mean it's really of a lot. And while we expect a sequential decline in Q4 from Q3, it will still be more than double what it was in 2017. And I guess, what I would say is, is that, not to say that we're totally immune to what's going on in China, but we have a lot of tailwinds right now with our product portfolio and our position in the market and I'll bring a couple up, first, there is definitely demand for higher performance microphones. There is still multi-mic adoption going on in what you call it, in the area of the China handsets. They are still now adding in intelligent audio adoption, which is driving share gains for us by having intelligent audio. And then last piece, I think, which is very important to note, is that when we refer to China, it's not just mobile. We now have a reasonably sized ear and IoT market that's growing as well. So, when you take this all together, we're seeing – I'm looking at the numbers here for China, but the demand is up significantly in the back half of the year, and while we see I would say sequential decline, it's still up dramatically year-over-year.
Suji Desilva - ROTH Capital Partners LLC: That's very promising color. Thanks, Jeff. Bye.
Operator: Our next question comes from Bob Labick from CJS Securities. Your line is open.
Bob J. Labick - CJS Securities, Inc.: Good afternoon, thank you. Wanted to start on the hearing health side. Wanted to get your comments on the recent FDA approval for the Bose hearing aid direct-to-consumer sales, and what do you think that does to that market? And if you have any content on that device. And just looking ahead, what can FDA approval for OTC hearing aids do for your hearing health segment?
Jeffrey S. Niew - Knowles Corp.: Yeah. I would say, short-term, I would say not much impact. I think longer-term, I think the jury is kind of out here – out, how this is going to impact our business. I would say that it would tend to be viewed from my perspective as only positive upside, right, but it's yet to see how this is really going to play out. I would just kind of make a comment. I don't want to speak specific to any specific customer, but I would say what they're targeting is people with – mild hearing loss is what they will typically be targeting. And that is an underserved market today. In other words, majority of people in that market don't have hearing aids together (00:24:20), so this could be upside for sure for our hearing health business. I guess, the other thing, I just want to make sure, I'd say, Bob, is that, we're seeing kind of like this convergence of the technology and feature requirements between the hearing health market and the true wireless market. And I think, the thing that I'm really excited about the ear market is, first, we have this long history of success in the ear market, and then you couple that with, we have a pretty nice product portfolio from our microphones, the balanced armature receivers, our intelligent audio products, and so we see this market in the mid-term, as being a real growth opportunity for us, and I frame that as the ear, not just the hearing health market.
Bob J. Labick - CJS Securities, Inc.: Great, that's helpful. And then, in terms of R&D, you've highlighted this quarter and expecting next quarter some pretty significant investment growth year-over-year. Can you talk about what the R&D spending focus is right now, and how you measure the ROI of the increased R&D spending?
Jeffrey S. Niew - Knowles Corp.: Yes. So, we have a pretty detailed analysis on how we spend R&D that we do quarter by quarter looking at risk adjusted NPV, that's kind of what we look at. And it's driven a lot of our decisions about where we're investing R&D. I would just point to, we've kind of said that R&D is going to run in that 11% to 12% range, and by our calculations based on the Q4 guidance, we're going to be at about 11.5% of sales in R&D. I would make one comment that John – and maybe John wants to expand on this. We are having a pretty good year, so incentive comp is up, and that's under R&D as well. So, I would say that the R&D spend is a little artificially higher than it looks due to incentive comp based on the year we're having so far.
John S. Anderson - Knowles Corp.: Yeah. Just to add a little color. R&D was actually up about $3 million quarter-over-quarter or year-over-year. About two-thirds of that was due to increased R&D activities, the other third was due to higher incentive comp costs.
Bob J. Labick - CJS Securities, Inc.: Ok, terrific. Thank you very much.
Jeffrey S. Niew - Knowles Corp.: Thanks, Bob.
Operator: Our next question comes from Jaeson Schmidt from Lake Street Capital. Your line is open.
Jaeson A. M. Schmidt - Lake Street Capital Markets LLC: Hey, guys. Thanks for taking my questions. Wondering if you could comment on if you've seen any significant changes to visibility over the last three months, and relatedly, with your North American customer peaking now in Q4, and the strong ramp in China in Q3, should we think about seasonality in Q1 any differently?
Jeffrey S. Niew - Knowles Corp.: Jaeson, I'm not trying to put on this, but I think when you talk about seasonality in Q1, we're usually pretty shy about talking too much to that because it's really highly dependent on the success that comes in Q3 and Q4. As far as what happened in our large customer – the problem we see with these – these calls about where the peak is, is shift by a couple weeks could like change, which is the peak quarter, and I wouldn't read too much into Q4 being the peak versus Q3. I really wouldn't read too much into that. There is a comment I just would make relative, not just to our largest customer, but overall. I think we are starting to make sure that people think about us as that well handsets are an important part of our business. The ear and IoT markets are becoming more and more important to us and that includes our largest customer. And so, I think what we're starting to think the trends as we go into 2019 is – is that we expect ear and IoT to grow again faster than the mobile. We still expect content gains overall in mobile. And so, we're feeling as we go into next year reasonably positive about how we're finishing this year and how the outlook looks for next year.
Jaeson A. M. Schmidt - Lake Street Capital Markets LLC: Okay. That's helpful. And wondering, if you could provide some color on what you're seeing in the pricing environment both in mobile and IoT.
Jeffrey S. Niew - Knowles Corp.: Yeah. I don't think we'll go into that level of detail in terms of mobile versus IoT, but generally speaking, what I would say is, is that we talked about this before, and I think it's playing out, which is in 2016 we had erosion on our mature products of about 10%, in 2017 it was around 7%. This year, I think, as I'm looking at the numbers, it's probably going to be slightly sub-4% and the trends are pretty positive for us, and let me give you the trends. First of all, number one is, as we think about the overall market, there has been a number of competitors in our space who have exited or defocused on this product category, which is a positive for us. The second thing is, we are very high on the idea of SmartMics, which help drive ASPs upward, as well as higher performance mics, we're getting a lot of traction, even in China with higher performance mics. So, while I'm not going to make a prediction on 2019 yet in terms of what the overall ASPs are going to do, I would say the trend continues to track through 2016, 2017, 2018, and we'd expect 2019 to continue to move in that positive direction.
Jaeson A. M. Schmidt - Lake Street Capital Markets LLC: All right. Thanks a lot, guys.
Jeffrey S. Niew - Knowles Corp.: Thanks, Jaeson.
Operator: Our next question comes from Charlie Anderson from Dougherty & Co. Your line is open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions, and my congrats on the strong results. Jeff, I wonder if you could talk a little bit about – it sounds like the early adopters with SmartMic's, you're getting more multi-mic, and I think maybe in some case it's sort of one SmartMic. I wonder long term are you seeing – what will be the form factor of a flagship smartphone in terms of number of SmartMic's they might take, and then I've got a follow-up.
Jeffrey S. Niew - Knowles Corp.: Well, I think right now we're really focused on I would say a solution that includes a SmartMic and potentially one or two digital mics, which I kind of talked about in the past that's a big step up from two analog mics in the past, right, so – and that's more kind of when we talked about this. This is like we're saying 5x the revenue per device. I think in longer term – and this is really specific to mobile, I think what we're seeing is people want more features than the SmartMic can offer, and that's where we sit there and say we have these I would say more advanced audio processes that we have in the marketplace that can fulfill some of these requirements. And we're hopeful that people will start to look at those in the mobile area. In IA, I would say, sorry, in IoT, I think it's really more just not a battery powered devices for the most part there are some, but it's about higher performance, and that's where we're focused on. I would say the bigger ticket item, the audio processor, and ear it's a combination thereof kind of more like mobile, where some people are interested in SmartMic very simple processing and some people are interested in much more differentiated features that can run on our device. So, it vary from market to market, but I would sit there and say our goal is to get people to start building features around our platform that is all about audio innovation.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. And then market share – question on market share, you mentioned the share gains in China, I wonder are you seeing that broadly as well, and if you could maybe quantify any of the share gains that you're seeing. Thanks.
Jeffrey S. Niew - Knowles Corp.: Yeah. I wouldn't we'll quantify the exact share we're at, there is lots of various people out there who can get like comments on, but we do think our probably share overall in the marketplace is up maybe a couple of points, I don't think it's dramatic, but it's probably up a couple points this year.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. Thanks so much.
Jeffrey S. Niew - Knowles Corp.: Okay.
Operator: Our next question comes from Bill Peterson from JPMorgan. Your line is open.
Bill Peterson - JPMorgan Securities LLC: Yeah. Hi, thanks for taking my questions and nice job on the quarterly execution. Question on China again because it appears you're really outperforming. Can you help us understand maybe what actual unit growth is, whether it be sequentially in the third quarter year-on-year? And then, when you think about how you're outperforming. And then, I guess part of the question too, is how much contribution from the non-smartphone space help bring your outperformance, how much is related to multi-mic, how much is intelligent audio, if you can rank these in terms of outperformance it would be very helpful. Thank you.
Jeffrey S. Niew - Knowles Corp.: Okay. I don't have all these numbers in front of me, Bill, to be honest in that level of detail, so I'll try to give like kind of my thoughts on this, and if probably maybe worth a follow-up, we can get back to you. But when you start thinking about China, I would say multi-mic was still there, but I would say this year it's probably not been as dramatic of the driver because we're talking about multi-mic, maybe microphones in China going up 5% to 7% the number of mics on the handset side. And we're talking about like more than doubling – close to – almost doubling of sales in China for the year or full year, and really picking up in the back half of the year. I would say then higher performance mics and share gains are probably the next largest thing that comes into play for 2018, and then I would say more weighted towards the back half of the year is the IA adoption starts to add more. So, if you look at this – I'm kind of looking at this, and again, I'm just looking at the numbers in total and trying to think back and how I would view this. Q2 for us was a strong quarter, but it wasn't double the sales from Q2 of 2017. Q3 we're almost – approaching triple, and so what you start seeing is, we've had share gains, we've had higher performance mic, and we've had multi-mic adoption, you layer in the IA adoption. And the ear and IoT, which is kind of been growing as well, and that's how you get to these numbers. Bill, I guess what I keep coming back to is, is I do feel like we are an outlier, when we hear about what people are saying about China, and we're trying to be as cautious as we can in our thought process about the end market. And there is no doubt mobile is still challenged I think in China for everyone, but I think our tailwinds, coupled with new products like IA and the idea of ear and IoT starts allowing us to far outpace the market.
Bill Peterson - JPMorgan Securities LLC: Okay. That is helpful. I think most people kind of are seeing I'd say relatively muted demand from a unit perspective, so that's helpful color. On the gross margin trajectory, and I guess as I think into 2019, you talked about higher utilization, presumably maybe you get to the seasonally weaker part it might go down. I'm trying to understand how we should think about gross margins next year from a seasonality perspective, new product launches, overlaying your commentary on a clear movement to higher performing microphones, less ASP erosion, and I think you said that some of the new product ramps sometimes can be a headwind. So, if you could help us understand how to think about gross margins next year, that'd be helpful.
Jeffrey S. Niew - Knowles Corp.: Well, let me start with – and I'll let John kind of answer some of this. But let me start with the first point, which is, we kind of are staying where what we say is that – gross margins, we don't see going up significantly until intelligent audio sales become significant. So, we'll start with that premise. And we've been in the roughly 40% range for a couple of years, and I would say from my perspective I think that's what we're still saying. As far as seasonality, all I can say is as mobile becomes less important to us, seasonality should decrease. Now that's not a one year thing, right. It's not like it's going to happen, like last year it was very seasonal and next year is not, and I think the focus for us continues to have to be is, how do we use the capacity we have in the first half, in order to service other markets, build some inventory, which we've done, you see inventory was very large at the end of the second quarter because we are building inventory for using the seasonal running full out we want to try to run as close to full out in the first half. So, I think you're going to probably see next year kind of be similar. In terms of sales, 45/55 with slightly lower capacity utilization in the first half than in the second half because in the first half we are building inventory and building product for other markets, while we're getting ready for the seasonal ramp. John?
John S. Anderson - Knowles Corp.: Yeah. I think you've hit most of the key points, Jeff. I think if you think about what we've realized in the first three quarters, plus the guide I gave for Q4, we're going to come out full year between 39% and 40% gross margin. To get that next leg up above that, I think, Jeff's, point is it's really going to be dependent on some pretty significant penetration of intelligent audio. The pricing has kind of moderated. I would expect pricing to kind of stay at these levels through like 3% to 4% year-over-year erosion on mature products, we typically get price increases on new products, but I don't think that's going to have a major impact year-over-year on gross margin. So, it's really, I think the next leg up is based on intelligent audio solution penetration.
Bill Peterson - JPMorgan Securities LLC: Okay. So, if I can sneak one more in. I know the Bay Area customer Facebook launched their product and who knows how sales are, but this is now in the market for your audio processors. I wonder if you can help us, basically – are there more design wins, more on the come, what's the next step in this business. You obviously talked about Alexa, that's driving mic sales and they have released new IoT devices that drive mic sales, but what's the next steps for the VSP products?
Jeffrey S. Niew - Knowles Corp.: Yeah. Well, I think we're getting to the point where you start discussing design wins, we have a lot of design wins and to start naming them all one by one is going to become increasingly difficult, like we don't talk about this on the mic side. So, I think we're getting to the point here, Bill, where the design activity is large enough that this is a integral part now of our business and the culture going forward to help us in that shift from being an acoustic component supplier to an audio solution supplier or provider. And I keep saying is this, I think which is interesting, I would say that intelligent audio will be larger than we expected in 2018 a quarter ago for 2018, and we're still expecting that 2% to 4% growth to come from intelligent audio. And I think what we really haven't laid out, and I think we're going to try to lay out over the next couple quarters is, how this is pulling through on our mic business. And we've been (00:40:11) just sit there and saying it's 5x the revenue, right, it's not just intelligent audio. But I think what I think everyone is got to understand is IA is becoming integral in ear, IoT and mobile to our ability to grow significantly faster than the market. Audio is already positive, mics are positive, but this is our opportunity to really start accelerating the growth in the future.
Bill Peterson - JPMorgan Securities LLC: Okay. Thanks for the color.
Jeffrey S. Niew - Knowles Corp.: Thanks, Bill.
Operator: Your next question comes from Harsh Kumar from Piper Jaffray. Your line is open.
Harsh V. Kumar - Piper Jaffray & Co.: Hey, guys. Thanks for the follow up. Jeff, you used to give some numbers before for either global mic kind of penetration per handset. I remember it being about 1.75 I think last time we spoke, may have gone up. I was curious if you still have those kind of numbers that you could share with us, and then...
Jeffrey S. Niew - Knowles Corp.: Go ahead, Harsh.
Harsh V. Kumar - Piper Jaffray & Co.: And then the other question was your China competitors, my understanding is they go for the MEMS sensor to some other people, and that's a pretty serious disadvantage. Have you seen those guys retrench, pull back, sort of step away from the business because they're just not competitive. This is one of the few businesses where a U.S. company actually has higher margins than a Chinese company, and would you ever consider selling them the sensors to make good money, good profit along the way.
Jeffrey S. Niew - Knowles Corp.: Yeah, I'm not going to comment on that last point at all at this point.
Harsh V. Kumar - Piper Jaffray & Co.: Okay.
Jeffrey S. Niew - Knowles Corp.: I would say we don't see them really pulling back. I think we've talked about this. The market has now really come down to MEMS mics, it's us and what we would say Infineon and their partners, right. And I think that's going to be where the market is for the foreseeable future. I don't really see that changing dramatically over the next six months here. And maybe one partner of Infineon's disappears and another one appears. It's hard to say how this all – and maybe Infineon will go direct a little bit more. It's hard to say what's going to happen. But I think the basic competition is kind of like now going to stay where it is. As far as the mics per handset, I don't have the exact calculations. John, has got it.
John S. Anderson - Knowles Corp.: Harsh, the 1.7 you referenced that was actually several years back. We've seen about 5% to 6% increase annually, and right now, it's our own internal estimates, but we're right at almost two mics per handset globally.
Harsh V. Kumar - Piper Jaffray & Co.: Okay. This is really helpful. Thanks, guys.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Michael J. Knapp - Knowles Corp.: Great. Well, thanks very much for joining us today. As always, we appreciate your interest in Knowles. And we look forward to speaking with you on our next earnings call. Thanks and goodbye.
Operator: This concludes today's conference call. You may now disconnect.